Operator: Welcome to the Q1 2022 Autoliv, Inc. Earnings Conference Call. Throughout the call, all participants will be in listen-only mode. And afterwards, there will be a question-and-answer session. Today, I am pleased to present President and CEO, Mikael Bratt; and Group CFO, Fredrik Westin. I’ll now hand over to VP, Investor Relations, Anders Trapp. Please begin your meeting.
Anders Trapp: Thank you, Mark. Welcome everyone to our first quarter 2022 financial results earnings presentation. On this call, we have our President and CEO, Mikael Bratt; and our Chief Financial Officer, Fredrik Westin; and I am Anders Trapp, Vice President of Investor Relations. During today's earnings call, our CEO will provide a brief overview of our first quarter results, as well as provide an update on our general business and market conditions. Following Mikael, Fredrik will provide further details and commentary around the financials. We will then remain available to respond to your questions. And as usual, the slides are available at autoliv.com. Turning to the next slide. We have the Safe Harbor Statement, which is an integrated part of this presentation and includes the Q&A that follows. During this presentation, we will reference some non-U.S. GAAP measures. The reconciliation of historical U.S. GAAP to non-U.S. GAAP measures are disclosed in our quarterly press release available at aitoliv.com and in the 10-Q that will be filed with the SEC. Lastly, I should mention that this call is intended to conclude at 03:00 PM Central European Time. So, please follow limit of two questions per person. I now hand it over to our CEO, Mikael Bratt.
Mikael Bratt: Thank you, Anders. Looking on the next slide. The ongoing war in Ukraine is an unconceivable tragedy that has resulted in a massive humanitarian crisis, and my thoughts goes to all those affected. We also continue to experience tough COVID-19 developments and lockdowns in China that are affecting many people, including our employees. I would like to thank all of our employees for dealing with and managing through these tough and unprecedented times. In the quarter, we have managed a very difficult market environment with significant declines in light vehicle production towards the end of the quarter, significant cost inflation and low demand visibility as well as severe disruptions of the global supply chain. Despite adverse regional mix effects, our sales outperformed global LVP by around 3 percentage points according to IHS Markit. In the quarter, raw material cost increases impacted our operating margin negatively by more than 5 percentage points and premium freight costs also increased substantially. The higher premium freight cost was a result of logistical bottlenecks and volatile customer call-offs. In the quarter, we achieved the targeted level of customer compensation, which still was relatively limited compared to the cost increase level. As a result, sales and profitability were lower than expected. In response to the ongoing challenging market conditions, we further strengthened our cost control measures, implemented a hiring freeze and accelerated other cost savings and footprint activities. Despite the challenging environment, our cash flow was positive and our balance sheet remained strong. The leverage ratio remains within our targeted range. In the quarter, we paid $0.64 per share in dividend and initiated the stock repurchase program. Looking at the rest of the year, we expect increased sales outperformance versus light vehicle production. It is our plan and ambition that our product price increases completed with strict cost control measures with gradual offset the cost increases. Therefore, we expect the sequential margin improvement in the second half of the year, supporting a trajectory towards our mid-term targets. Looking now on the direct effects on the war in Ukraine on the next slide. Our hearts are with everyone affected by the massive humanitarian crisis created by the war in Ukraine. The war has significantly affected automotive industry, especially in Europe. We have no operations in Ukraine, but we have identified four sub-suppliers in Ukraine. We are in the process of transferring our component procurement out of Ukraine, and we have not stopped any of our customers. However, the war has affected our customers' ability to produce vehicles, leading to lost volumes and more volatile customer call-offs. As a result, we lost almost 25% of expected sales in March in Europe, significantly affecting our operational efficiency. Autoliv has one production plant in Russia with around 200 employees. In 2021, our sales in Russia reflected less than 1% of our global net sales. As this is a very volatile and challenging situation, we continue to monitor developments closely and we are reviewing our presence in Russia. Looking now on the financial overview on the next slide. Our consolidated net sales of $2.1 billion was 5% lower than in Q1, 2021, due to negative currency effects and lower global light vehicle production. Adjusted operating income, excluding costs for capacity alignment, fell from $237 million to $68 million. The adjusted operating margin was 3.2% in the quarter. The lower operating margin was mainly a result of rising costs for raw materials, higher costs for freight, especially premium freight and lower than expected light vehicle production. Operating cash flow was $70 million, which was $160 million lower than the same period last year, mainly due to the lower net income. Looking now on to organic set sales development on the next slide. Our sales in the quarter came in lower than expected with light vehicle production in all regions disappointing, except rest of Asia. According to IHS Markit, global light vehicle production declined by 4% year-over-year in the quarter. This was 2 percentage points worse than expected at the beginning of the quarter.  As a result of the declining light vehicle production, our first quarter sales declined organically by 1%. This was 3 percentage points better than the light vehicle production according to IHS Markit. The outperformance came despite the very negative regional mix impact of more than 8 percentage points in the quarter, as a result our production in low safety content markets growing. Supported by recent launches and more positive regional mix, as well as a positive pricing, we see sales outperforming LVP substantially more for the rest of the year. Based on the latest light vehicle production numbers from IHS Markit, we outperformed in Europe by 12 percentage points, in Japan by 7 percentage points and in Americas by 3 percentage points. In China, sales underperformed by 2%. The reason for the underperformance in China was mainly the mix effects from production of low-end vehicles growing by 17%. For 2022, we are confident of a solid outperformance in all major regions. On the next slide, we see some key model launches from the first quarter. In the quarter, we had a high number of launches, especially in Japan and China. The models shown on this slide have an Autoliv content per vehicle from approximately $50 to more than $400. The long-term trend to higher CPV is supported by the introduction of front center airbags, battery cutoff switches, and pedestrian protection airbags. We are also launching side airbags and curtain airbags on vehicles produced in India, exemplified here by the Suzuki Glanza, supporting the Indian government's intention to make side protection airbags mandatory later this year. I will now hand it over to our CFO, Fredrik Westin, who will talk about the financials on the next few slides.
Fredrik Westin: Thank you, Mikael. This slide highlights our key figures for the first quarter of 2022 compared to the first quarter of 2021. Our net sales were $2.1 billion. This was a 5% decrease compared to the same quarter last year. Gross profits declined by 37% to $288 million, while the gross margin decreased 13.6%. The gross margin decrease was primarily driven by raw materials, premium freight, and the volatile and lower than expected light vehicle production. The reported operating income decreased to $134 million from $237 million. In the quarter, capacity alignments had a $66 million positive impact on the operating profit. As a result, the adjusted operating income decreased to $68 million from $237 million. The adjusted operating margin declined to 3.2%. The operating cash was $70 million. Earnings per share diluted decreased by $0.85 where the main drivers were $1.39 from lower adjusted operating income, partly mitigated by $0.49 from capacity alignment, $0.05 from financial items and $0.03 from lower tax. Our adjusted return on capital employed declined to 7% and the adjusted return on equity 6%. We paid a dividend of $0.64 per share in the quarter, same as in the previous quarter, and repurchased around 230,000 shares for $18 million under our three-year stock repurchase program. Looking onto the adjusted operating income bridge on the next slide. In the first quarter of 2022, our adjusted operating income of $68 million was $169 million lower than the same quarter last year. The impact of raw material price changes was a negative $110 million in the quarter year-on-year. Foreign exchange impacted the operating profit negatively by $5 million, mainly as a result of the stronger U.S. dollar. Support from governments in connection with the pandemic was $7 million higher than in the first quarter compared last year. SG&A and RD&E net was unchanged. Our strategic initiatives continued to yield good results. However, these positive effects were more than offset by the difficult market environment. Premium freight and lower than expected sales, but also high call-off volatility and broad cost inflation, for instance, related to logistics and utilities impacted our operations negatively. Looking on the cash flow performance on the next slide. For the first quarter of 2022, operating cash flow decreased by $116 million to $70 million compared to last year, mainly due to lower net income. Compared to prior quarter, working capital deteriorated by $18 million despite a $20 million improvement in trade working capital. This was mainly a result of $136 million increase from inventories and $125 million from increase of receivables, partly offset by $241 million from accounts payables. The increase in inventories was due to customers in Europe stopping production around quarter end because of supply chain distress, related to the war in Ukraine and lockdowns in China. For the first quarter, capital expenditures net decreased by 82% to $17 million, mainly as a result of the divestiture of facility in Japan. Capital expenditures net in relation to sales was 0.8% versus 4.1% a year earlier. Excluding the divestiture in Japan, capital expenditures was $112 million. For the first quarter 2022, free cash flow was $53 million compared to $93 million a year earlier, driven by the lower operating cash flow, partly offset by lower capital expenditure net. The cash conversion for the last 12 months was 72%. In the quarter, we paid $56 million in dividends and repurchased shares for $18 million. Now looking on our leverage ratio development on the next slide. We are pleased that our focus on capital management is yielding results, and we can maintain a strong balance sheet also in these challenging times. This has enabled us to start the repurchasing of shares and to maintain our dividend. The leverage ratio at the end of March, 2022 was 1.4 times, a significant improvement since the peak of 2.9 times in 2020 and unchanged versus a year ago. In the quarter our 12 months trailing adjusted EBITDA decreased by $176 million, partly offset by the net debt decrease of $19 million. Now looking at the raw material development on to the next slide. The exogenic shock from the war in Ukraine adversely impacted an already distressed global supply chain, driving prices of raw materials further upwards. Cost increases for raw materials generated a headwind of $110 million or around five percentage points to our operating margin in the first quarter. This was higher than the full year impact in 2021 of $105 million. In the current price environment, we believe that raw material costs before any customer compensations could be up to six percentage points in operating margin headwind for the full year 2022, with similar year-over-year effects in all quarters. This is, of course, a situation which we must address through serious actions to ensure we are back on the trajectory towards our medium term profitability targets as soon as possible. A key lever to achieve this is outlined on the next slide. We are engaging in customer discussions aiming at unprecedented price increases to reflect the significant cost inflation, mainly from raw materials, but also lost volumes and logistic costs. Over time, we believe and expect that customer recoveries should offset the cost inflation. We were on track to achieve the recoveries we had targeted to cope with the cost increases that we anticipated prior to the latest surge in prices and costs. However, the ongoing inflationary pressures require additional actions. Therefore, we have established a global commercial recovery task force and we have escalated the negotiation processes and are engaged in customer discussions demanding compensation for the recent additional cost inflation. The main focus is on price increases from midyear and onwards. In parallel, we're implementing greater pricing flexibility into our new contract to account for an environment with changing cost levels. For commercial reasons, we will not discuss the level of anticipated recovery or its nature. In addition to commercial recoveries and price increases, we are undertaking other actions as well, as discussed on the next slide. In response to the increased challenging market conditions, we continue with strict cost control measures, a hiring freeze and accelerated cost savings and footprint activities. In addition to recently announced capacity alignments and footprint actions in Japan, Europe and Americas, we are reducing direct labor, closing one plant in South Korea and we divested a property in Japan. In total, we reduced headcount by over 1,700 versus the same quarter last year, despite similar sales levels. Additionally, our measures include management of inventories and payables, negotiating with suppliers to mitigate cost inflation. Our supply chain management teams have been working hard to balance inventories to actual demand. During the quarter, production planning accuracy declined as a result of the war in Ukraine and the extensive lockdowns in China. Now switching to the market development, I hand it back to Mikael.
Mikael Bratt: Thank you, Fredrik. Looking now at the light vehicle production development on the next slide.  While global markets are influenced by the ongoing war in Ukraine, Europe is undeniably the most severely impacted. Beyond the direct impact to Russian LVP, the war in Ukraine also significantly affects wire harnesses production, mainly for German automakers. Compared to three months ago, IHS Markit has reduced its global light vehicle production growth for 2022 by more than four percentage points to less than 5%, with European accounting for 90% of the reduction. Additionally, we see further risk to supply chains and the broader economic landscape. Given the ongoing uncertainty, we have a scenario based approach to light vehicle production, and therefore, our updated guidance is based on a light vehicle production range. Looking at LVP forecast in more details on the next slide. For the second quarter of 2022, global light vehicle production is expected to further decline compared to Q1, 2022. In North America, sales of light vehicles are slowly improving on a quarter-to-quarter basis and should continue strengthening over the remainder of the year. However, due to low inventory levels, deliveries remain well below demand and well below deliveries a year ago. European production will remain challenged, as weaker Q1 production is expected to carry forward into Q2, as the war in Ukraine continues to stress the supply chains. Hit by strict COVID containment measures, light vehicle production and sales in China started to decline in March. Lockdowns are also interrupting auto production outside China as exports of components are affected. In the near-term, global light vehicle production outlook will be determined by the availability of components, as well as the effects of lockdowns in China. Now looking on the 2022 business outlook on the next slide. We expect higher sales outperformance versus light vehicle production for the rest of the year, supported by launches, regional mix and higher prices. For the second quarter of 2022, we forecast the adjusted margin to be weaker than in the first quarter due to lower and more volatile light vehicle production, and we expect cost inflation to increase faster than our cost compensation. We expect second half of year improvements from alignment of direct labor with light vehicle production, footprint optimization activities and less volatile light vehicle production in Europe and China. Most importantly, we are negotiating price increases with our customers to compensate for current cost inflation. We believe and expect that our price increases should gradually offset the cost inflation. And assuming some degree of market stabilization, we should be back on a trajectory towards our midterm target. Looking at the updated full year 2022 indications on the next slide. The updated indications are based on the assumption that global light vehicle production will grow 0% to 5% and that we achieve our targeted price increases plus some level of market stabilization. We expect sales to increase organically by around 12% to 17%. Currency translation effects are assumed to be around a negative 3%. We expect an adjusted operating margin of around 5.5% to 7%. Operating cash flow is expected to be around US$750 million to US$850 million. Our full year 2022 indications exclude cost for capacity alignment, antitrust related matters and other discrete items. Turning to the next slide. We now see global light vehicle production growth being four to nine percentage points lower than in the previous indications from January 2022. Rising raw material costs are expected to have an additional 300 basis points negative impact. We believe our strategic initiatives and other actions should offset some of these additional headwinds. This should lead to an adjusted operating margin for the full year 2022, that is 2.5 to four percentage points lower than the previous indication. Our adjusted operating margin outlook may still be impacted by supply chain disruptions in the automotive industry and potential risk of surge in COVID cases and its effect on us and the automotive industry. Turning the page. In closing, to summarize our 2022 outlook, we expect continued strong outperformance versus light vehicle production, supported mainly by product launches, increasing content per vehicle and price increases. Supported by a somewhat more stable market, we anticipate to gradually offset much of the cost inflation in the coming quarters, which will take us back to a trajectory towards our midterm target. Additionally, our balance sheet and cash flow should allow for continued shareholder return. I will now hand it back to Anders.
Anders Trapp: Thank you, Mikael. Turning to the next slide, which concludes our formal comments for today's earnings call. And I would like to open the line for questions. So, now I turn it back to you, Mark.
Operator: Thank you. [Operator Instructions] The first is from Hampus Engellau of Handelsbanken. Please go ahead. Your line is open.
Hampus Engellau: Thank you very much. I just have one question, but it may be a dual question here. What I'm trying to understand, like it is that pricing situation that you're in. And especially when I put it into the perspective that the core OEMs have increased new car pricing by 5% to 8%, used car prices are up 25% and many of the OEMs reported record margins last year. And hasn't this in some way impacted your possibility to push forward price increases? Or could you maybe elaborate on that a bit? And also, what kind of time lag we should expect on these price increases that you have implemented so far? Thanks.
Mikael Bratt: Thank you, Hampus. No, let me say that, I mean, I feel comfortable going to the customers here and discuss and negotiate these price increases. I mean, it's clearly o that what we are going to the customers with is the inflationary pressure we see in the industry and it's not Autoliv specific issues, if I put it like that. So, I mean, when we go into this discussion, we have well built up cases here. And as you said, they have already started this journey. But as a supplier, it's in the business models we have -- at least had history as a supplier. You can't anticipate price increases before that happens. So, therefore, we can only go to the customer when we have them, so to speak. And that is what we're doing now. So, therefore, you have this time lag, as we have talked about here. But once again, I feel comfortable in our ambitions here of getting the compensation for deflationary pressure that is in the industry.
Hampus Engellau: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Colin Langan at Wells Fargo. Please go ahead. Your line is open.
Colin Langan: Great. Thanks for taking my questions. Just looking at Slide 12, it's definitely clear that raw material costs have obviously massively increased since the beginning of 2020. But for a lot of them, they're not too far off of the end of last year. So, trying to line up the big increase in raw material headwinds versus where it ended last year, a lot of these aren't too off base. Is it that the assumptions, the initial guidance, we're assuming that some of these started to moderate? Is there just sort of a timing issue? I'm just trying to think about where we were at year-end and why the large increase today.
Fredrik Westin: Yeah. So, as we laid out in the -- after the Q4 earnings, we said that it was also based on an expected development of raw material prices going forward. And when we look at what now the -- especially the Ukraine war has done to the raw material situation, we see that the increase that we have now from roughly 300 basis points to 600 basis points, roughly three quarters of that are from steel and non-ferrous metals. And this is really where the -- also the forward curves have changed significantly. So, we now assume that we will rollover these contracts at significantly higher price levels than what we were assuming just three months ago. So, that's the main difference here in the assumptions going forward.
Colin Langan: Okay. Got it. So, it is sort of a forward-looking change. Okay. And then, as I'm looking at the full year guidance, you've indicated next quarter is going to be a bit worse than this quarter. So, we're talking 3%-ish maybe for the first half. To get to the midpoint, which is like 6.25, really requires I think almost a tripling of margins from first half to second half. You mentioned some items. I mean, what are really the major step functions to kind of get to that big sort of first half to second half weak when we think it's sort of ranking order, what will drive that?
Mikael Bratt: No. I think that it's all about closing this time gap between cost increases that we are facing from our value chain with the compensation from our customers here. And as we indicated already in the Q4 earnings release, we stated there that the first half of the year will be challenging, and we talked there about 500 basis points raw material headwind in the first half and then we should see the compensation coming through to the second half of the year. And that's still the dynamics in the guidance we're doing now. The difference compared to that, of course, is that the war in Ukraine put additional pressure on the value chains here and drove up prices not only on raw material, but also on logistics costs and energy prices, et cetera, which meant that we now needed to opt our ambitions here with the price increases with the customers. And hence, then you have the time gap again here. So, we will see then a gradual improvement on price side closing these gaps. So, of course, there is a big difference between the first quarter and the last quarter in this forecast, which is also was in the regional guidance for the year.
Colin Langan: Got it. All right. Thanks for taking my questions.
Mikael Bratt: Thank you.
Operator: Thank you. And our next question comes from the line of Rod Lache at Wolfe Research. Please go ahead. Your line is open.
Rod Lache: Hi, everybody. So, I also wanted to ask about the commodities. So, last year, thanks for quantifying, you had a 130 basis point drag from raw materials and now you're up to 600 this year. So, 700 basis points cumulatively. Can you just remind us, first of all, is that a gross or a net number? And I was hoping you can elaborate a little bit on the timeline and magnitude of potential recovery. So, if you achieve the recovery that you anticipate in the back half of this year, I would imagine some of that spills over to next year. What -- can you maybe give us a little bit of color on the magnitude of tailwind that would then -- you would then benefit from next year from this?
Fredrik Westin: Yeah. So, the guidance on the raw material side continues to be a gross number, as we always had. So, there's no recovery or offset in that number. That's the effect that we see the raw material prices hitting our P&L on the cost level. Yeah. Then as Mikael already indicated, if you look at our, say, the margin levels that we achieved during the first quarter and indicating also for the second quarter and then the implied trajectory then into Q3 and Q4, you can see that we are expecting a significant recovery level. However, with the raw material price increases, say, the net of -- the cost increase versus offset then by recoveries is less favorable now than it was in the initial guidance. But we should be -- as we say, back towards the trajectory to meet the 12% margin target that we have for the medium-term, and then that should be quite visible already in the Q3 and Q4 performance.
Rod Lache: Okay. You mentioned premium freight and other cost inflation and that's why you're seeing that $61 million drag on a 1% organic decline. Are you expecting to recover that through pricing as well? And then, just lastly, you mentioned additional semiconductor risk due to the war in Ukraine. Can you just elaborate on what you're specifically looking at?
Fredrik Westin: So, on -- premium freight was quite substantial in the quarter. As Mikael mentioned, 5% was or more than 5% was the hit from raw materials, which was fairly much in line with our guidance. But then we saw around about a 2% hit on the margin also from premium freight, of which we believe the majority of that is recoverable then throughout the remainder of the year. But then we also saw inefficiencies on the import direct labor, mainly due to the call off volatility, but also related to COVID shut or COVID cases in both Europe, but also parts of Southeast Asia and in China, which hampered our ability to run at normal productivity levels. And on top of that, then also the -- what you can see in the markets, also the freight and utility cost levels have come up quite significantly also in the first quarter. So, those are the main components of the $61 million headwinds on the operations side. And can you repeat your second question on Ukraine? I didn't fully understand that one.
Rod Lache: You -- on one of your slides, you alluded to additional semiconductor risk due to the war in Ukraine. So, it sounded like you were tying that. And was that related to neon gas? Or was there something else that you're seeing that led you to raise that as a larger risk associated with the conflict?
Mikael Bratt: Yeah. That's correct. I mean, that's one example. But raw material is also going into the semiconductor production that is affected by the war in Ukraine there. But I think on the semiconductor side, I mean, there is also, of course, still some challenges when it comes to the total supply there and that's also what is challenging for the overall LVP outlook here, as we have outlined here, not least the China situation there where we actually see semiconductor manufacturing go down slightly in Q1. And, of course, with the lockdowns and the consequences also on the freight out of China, there you can expect some disservices of that. But it's all part of the 0% to 5% growth number for LVP included there.
Rod Lache: Okay. Alright. Thank you.
Operator: Thank you. Our next question comes from the line of Vijay Rakesh of Mizuho. Please go ahead. Your line is open.
Vijay Rakesh: Yeah. Hi, Mikael and Fredrik. Just on the full year guide. Just wondering if you're able to -- the 12% to 17% year-on-year, are you able to pass on some of the costs? And what's -- what price increases are you embedding in that full year number, if you can give us some color.
Mikael Bratt: We don't go into any details on the levels and so forth here, specifically as we are in the midst of the negotiations with our customers here. So, with that said, I started out this Q&A session here by stating that I feel comfortable with us going then to the customer achieving the full compensation for what is done inflationary pressure in the system. Once again, it's not Autoliv unique cost increases here. It is in -- cost pressure in the industry here.
Vijay Rakesh: Got it. Makes sense. Yeah. And I think you also mentioned some customer call-offs, about 25% of European sales affected. Now with the Shanghai shutdown almost a month into the quarter here, are you seeing that distress in the supply chain resulting in call-offs in both Europe and China? Or what's being embedded, or what are you seeing in your order activity? Thanks.
Mikael Bratt: No. As I said, I think the consequences from what have happened so far in terms of lockdowns in China during the quarter here and as we speak, I would say, is included in the 0% to 5% scenario. Then, of course, as we have pointed out here, there's a lot of uncertainty around the COVID situation as well as the war in Ukraine, et cetera, on further impact. But what we can identify today, we believe that's within the 0% to 5% LVP growth there, if that answers your question.
Vijay Rakesh: Yeah. Thanks.
Operator: Thank you. And the next question comes from the line of Joseph Spak at RBC Capital Markets. Please go ahead. Your line is open.
Joseph Spak: Thank you everyone. I guess, I just wanted to understand a couple of things on pricing, because on slide 19, you're showing for the full year that you're basically able to offset the -- pretty much the entire impact of raw materials, and I know some of that's sort of your own -- your actions. But that implies that it's actually a much bigger impact versus the raw material headwind in the second half, because you didn't really get any of that in the first half. So, I guess, I just want to understand, are you -- like I can understand how you can price for inflation, but it seems like there's maybe also an element of recovery for prior impact. And is that correct? And then, I just also want to confirm that functionally, these -- any recoveries are reported in -- are they reported in sales, so it's also impacting your organic growth, or is it a counter expense?
Mikael Bratt: I mean, if I start and Fredrik can fill there on the details there. But I mean, of course, when we go now to the customers, we are seeking full compensation for what is then the inflationary pressure, as I mentioned here. Then, of course, also you have other claims here connected to the specific situation with the customers. I mean, as Fredrik alluded to before, some of the premium freights that are caused by the customer is also on the claims list there. So, we include that. And I think the impact here on our full year guidance is the timing gap between when we are being hit by the cost and when we get the customer compensation here. As I said, it's a part -- has been a part of the business model for auto suppliers, as you know. And that, of course, is something we're working on to shorten as much as possible. But when it comes to the hype here and the facts behind it, I feel comfortable here to go to the customer with a full amount here.
Fredrik Westin: Yeah. And the recoveries will be in our net sales. So that's how we will report them. And as such, they are then also part of the organic growth outperformance. So, one of the reasons why we then have increased that from 11% to 12% is also from a higher than previously expected price adjustment from our customers to offset the stronger raw material headwinds that we're facing.
Joseph Spak: Okay. And then, I guess, Mikael, maybe building off sort of a comment you just made here about changing relationships. And you mentioned in your report and I think in your opening comments, I think about greater pricing flexibility going forward. Does that mean that you are trying to move more towards an indexing model versus prior similar to other suppliers? And if so, is that just for new contracts? Or is that something you think you can achieve for existing contracts as well?
Mikael Bratt: No. As I said, I mean, I wouldn't say that it's -- the answer to the question is indexation or not. I think, it's all about that we are in a different environment now than what we have been in for the last at least 20 years here. And, of course, there is a changing -- change over time also for our customers as well for ourselves here. But I think we have good speed and good focus when it comes to get these adjustments in place. And as we continue to see at least for some time here, continued pressure. That will be an ongoing dialogue, of course, with the customer.
Joseph Spak: So, just to follow-up, what do you mean by greater pricing flexibility then when you mentioned that?
Mikael Bratt: No, it means that we need to make sure that we have a faster response time from our customers here to get compensated for the price increases we see in our system. And then, you can achieve that with different means. But it's more, I would say, a part of the dialogue with the customers and how you set it up with respect to customers. And, of course, as we mentioned, indexation is one tool in that toolbox, but it's something we need to develop individually with our respective customer.
Joseph Spak: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Sascha Gommel at Jefferies. Please go ahead. Your line is open.
Sascha Gommel: Thank you very much. I also got a couple of items. The first one is just a clarification. In that 600 basis points of headwind you're guiding, is there the freight cost or the logistics headwind included? Or would that come on top? And how much is that in the full year?
Mikael Bratt: It’s -- the 600 basis points is pure raw material. We haven't specified the freight cost or any other inflationary cost pressures specifically there. It's a part of the overall guidance effect there. But once again, all that type of cost is what we intend to get compensated for.
Sascha Gommel: I see. But it's fair to assume that this kind of logistics headwind remains at least for the second quarter, if not also for the second half.
Mikael Bratt: Yes.
Fredrik Westin: Yes. Yeah.
Sascha Gommel: Okay. Great. And then, the second thing I wanted to clarify is the share buyback. On your website, you only reported numbers until the end of March. And does that imply you stop the share buyback at the end of March, or are you still buying right now?
Mikael Bratt: As you know, we published there when transactions are being done. And we don't comment on what we intend to do and when we intend to do it and so on. But I mean, we have initiated the buyback program, and we are committed to the 1.5 billion by 2024 there in the buyback program.
Sascha Gommel: So that means there was no buying early April?
Mikael Bratt: We will continue to inform you when we have done something in the program there.
Fredrik Westin: Yeah. And we have to report it. So, if there was nothing reported …
Sascha Gommel: Appreciate it. Thank you.
Mikael Bratt: Thank you.
Operator: Thank you. Our next question comes from the line of Agnieszka Vilela of Nordea. Please go ahead. Your line is open.
Agnieszka Vilela: Thank you. When I look at the raw material impact on your EBIT, it was the aggregated or is expected to be the aggregate at $600 million in the past two years, 2021 and now including guidance for 2022. And you say that you have the ambition to recover that and also recover the freight costs and other costs that you're incurring right now. What gives you confidence that you can reach this kind of recovery and also when we should expect that? So, will it spill over to 2023 as well? Thanks.
Mikael Bratt: Thank you. I mean, the confidence in achieving this lies in the fact that it is external price pressure towards the industry. It's not Autoliv specific. I would rather say that -- I mean, I think we have, through our supply chain team, managed to keep down the cost increases here for better part of 2021 and at lower levels. So, I think, we have done a great job there. We are not asking for anything more than what has ended up here. So, I think, we have good arguments and good facts behind this. And once again, it's inflationary pressure and inflation by definition is passed on here. And as we stated before here, we see then a gradual recovery here over the next coming quarters here. So, full focus on 2022 here.
Agnieszka Vilela: Great. Thank you. And then, the last question for me is that, if we look at your leverage, it is now approaching 1.5 times, which is the high-end of your target. Is it fair to assume that you could pause the share repurchases right now?
Mikael Bratt: I think as we have said before here, I mean, when to move forward on share repurchase is a number of factors that needs to be built in that decision. And leverage, of course, is one, but it's also our cash flow generating capabilities going forward here and where we are in general in the cycle here. So, there's a number of factors here. So, it's not absolute black-and-white definition on the buyback if it's 1.5 or 1.6 or 1.4. It's a combination of all the three. And I think we have used the phrase before as we have a pragmatic view on that, and that's still true going forward.
Agnieszka Vilela: Thank you.
Mikael Bratt: Thank you.
Operator: Thank you. Our next question comes from the line of Philipp Konig of Goldman Sachs. Please go ahead. Your line is open.
Philipp Konig: Yes. Thank you very much for taking my question. I just got a question on the operating leverage. If we think about the second half of the year to sort of get to your guidance, it implies sort of a 9% to 10% margin. You mentioned earlier and also on slide 19 that you expect to offset the 3% additional raw materials with your pricing and other cost actions. Just thinking about the organic growth, how -- when you have positive LVP growth in the second half of the year, do you sort of expect to be back at the normalized operating leverage level? Or do you think because of higher freight costs and everything that flows into that part of the operations that maybe that will continue to lag and all of your margin improvement will come from the pricing, would be helpful. Thank you.
Fredrik Westin: No. We believe that the underlying, say, operational leverage should be within the range that we're normally talking about 20% to 30% and probably at the higher end of that range when you exclude for the inflationary pressure. So, if you take those costs out, but also the recovery. So, the underlying operational performance should be at the upper end of that 20% to 30% range is our expectation.
Philipp Konig: Okay. Thank you. And then, my second question, just quickly on the FX. Obviously, there was quite a minimal impact on the EBIT line, although it was fairly more material on the revenues. Is that sort of something you expect going forward given the hedges that you have in place?
Fredrik Westin: Yeah. So, we're expecting roughly a 3% translational effect on revenues. So, slightly lower for the full year than what we had in the first quarter.
Philipp Konig: And on the EBIT?
Fredrik Westin: What we can see at the moment, it's not a material effect. Yeah.
Philipp Konig: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Chris McNally of Evercore. Please go ahead. Your line is open.
Chris McNally: Thank you. One recap and then one on incremental decremental margins. So, focusing on that slide 19, just to recap on the extra 300 basis points of raw materials from all the questions so far. So, is it fair to characterize that it's not really about spot prices having increased. But essentially, when you made the guidance in the beginning of the year, you were expecting, let's call it, lower steel and magnesium costs for the second half into 2023, that now because prices are elevated, is an incremental pressure to your guidance. And you're obviously going to price for that, but there's a delay. Just wanted to make sure I understood that dynamic.
Fredrik Westin: Yeah. That's a correct assessment or conclusion there. It is that we don't -- as we have said many times, we don't buy on the spot markets, but the developments of the spot markets have also impacted the prices at which we know can close, say, are more long-term agreements. And that's the effect that we talked about. We have then increased our commercial recovery ambitions accordingly. But as Mikael has laid out, there will be a continuous timing or time lag effect should these material costs materialize as they are now -- say, as we are guiding for them. Yeah.
Chris McNally: Okay. Well understood. So, then the second question is really on the first bar on decremental margins associated with lower production. I mean, obviously, I don't think the slide 19 is maybe fully to scale. But could you help us understand on, let's call it, the lost 6%, 7% of core production by your adjustment. What was the sort of normal decremental margin? And then, on top of that, you obviously had some disruption and things like that. But just an idea from here what your decrementals and incrementals could be because of things like freight, it's hard for us to see what your true decremental margin was on just pure volume.
Fredrik Westin: No. It's what I said before. I mean, if we exclude the inflationary effects, and there are -- it's not only raw material, but it is -- the vast majority is raw material. But then we also have increased labor costs. They have not picked up yet so much in the first quarter. It will be more pronounced in -- from Q2 going forward. And then, of course, also logistics cost and utilities. But as I said, it is -- raw material is the vast majority of that. And that -- if you exclude for that, then our operating leverage is at the upper end of the 30% -- 20% to 30% range if we look at the underlying performance of the business.
Chris McNally: Okay. So, at the higher end of the range and on top of it is the things like sort of expediated freight. I mean, the only reason I asked is things like labor cost, I'm not sure how much that's changed in the last two months.
Fredrik Westin: Labor cost inflation has not been material or not very significant to date. I mean, it's the way that we -- that our contracts are set up, it's something that typically starts at the end of the first quarter and then is in the run rate as of the second quarter going forward. But that was not so much an impact in the first quarter. It was more what I said before that the COVID shutdowns and the supply chain volatility led to lower operational efficiency and productivity in our operations, and that was an issue here in the first quarter.
Chris McNally: Perfect. Thanks so much, guys.
Mikael Bratt: Thanks.
Operator: Thank you. Our next question comes from the line of Brian Johnson at Barclays. Please go ahead. Your line is open.
Brian Johnson: Thank you. And thank you for your very kind of honest and kind of open look the situation on the ground with inflation. Just want to kind of get a little bit understanding. When we came into the year, you were looking towards productive negotiations with the customers to get back to that 10% to 11% margin targets where you've been, kind of since then OEM margins continue to expand. But clearly, the pain on suppliers with fixed price contracts is increasing. So, are the OEMs expect you to take some pain share and live with lower margins in this environment? Or can they see their way to getting you -- not that this would be your thinking back to your original margin targets?
Mikael Bratt: No. I can't comment on what the OEMs are planning or thinking. But I mean, in terms of pain sharing, I think it's quite visible the effects we have had here as a result of the increased prices here. And we are absolute determined here that this needs to be passed on and that's what we're working accordingly as we have expressed here. And once again, it's not out of the specific cost that is created here and that needs to be passed on, it is inflationary pressure and that needs to go on. So that's what we're working with. And as I said, I feel comfortable in these dialogues based on that assumption.
Brian Johnson: And just to follow-up kind of thinking of this managerial kind of put it to an OEM. Clearly, I would imagine your competitors are going after the OEMs for discussions. Every other component supplier were likely to hear this earning season is accelerating the discussion. So, just logistically, how does that get done? Is it a program-by-program negotiation? Do you have to work your way up to the CEO and get final sign-off on pricing? And just, how does the timing and how is just the sheer overload I imagine on procurement organizations that are also trying to desperately find supplies to keep their factories open. How does that affect the timing of recovery?
Mikael Bratt: No. I mean those factors you mentioned, there is nothing I see, or we see. I mean, we have our relationships well established within the OEMs and we access them when we need to access them. And I would say, it's more a negotiation question about time rather than anything else. And, of course, the daily business are running in parallel there. So, it's nothing impacting there.  So, no, it's a pure commercial negotiation that is taking place. And it's, of course, challenging times for everyone in the industry here, but nothing dramatic here about that in relation to anything that needs to be done.
Brian Johnson: Okay. And just a final follow-up. You do have a substantial presence with Japanese OEMs. They just closed out their fiscal year, usually calendar first quarter is when nature of the suppliers. Did -- were you able to get recoveries there? Or did you kind of because Ukraine war relatively late in the quarter? Do we have to kind of wait until calendar first quarter 2023 for those negotiations to conclude?
Mikael Bratt: No. I mean, I can't comment on how we succeeded with specific OEMs here. But as we have mentioned here, we were on track when it comes to the commercial recovery based on the regional scenario here. But with the war in Ukraine and additional pressure that has been applied on the supply chains and the price increases coming out of that, we needed to ups our ambition levels here and that is what is being brought back on the table here, additional on what was also on top and that's true for all OEMs and all global players here.
Brian Johnson: Okay. Thanks.
Anders Trapp: Alright. I think that was the last question. We are out of time. Mark?
Operator: We did have one further question if you have time for it, but we have reached the top of the hour. So, completely up to you.
Anders Trapp: Sorry, there was one more question. I thought it was all out. Yes. We take one more.
Operator: Okay. And that's from the line of Itay Michaeli of Citi. Please go ahead. Your line is open.
Itay Michaeli: Great. Thanks, and thanks for squeezing me in. I'll just two quick ones, just going back on the pricing negotiations. What you're expecting in the second half of the year for recoveries? Roughly how much of it's already been secured versus still to be negotiated? And then, secondly, on the new contracts you're signing for forward programs, are you at -- can you confirm you're actually getting higher pricing on your content per vehicle on those programs to kind of compensate for the higher inflationary environment.
Mikael Bratt: No. As I said, we can't go in and quantify any details around it here. I mean, it's all built into the -- and -- really, the consequence -- the timing all of it is built into our full year guidance and I have to leave it like that as we are in the midst of discussions here. And, of course, all new quotes that is being discussed and awarded are more on the right level than, I would say, the current portfolio -- currently are running at. So, that is, of course, taking care of there. So, the bill of material it's, of course, [indiscernible]. Yes.
Itay Michaeli: That’s great. Thank you.
Mikael Bratt: Thank you.
Operator: Thank you. And with that, there are no further questions in the queue. So, I'll hand back to you for the closing comments.
Mikael Bratt: Okay. Thank you very much, Mark. I know I speak for everyone at Autoliv in expressing our concerns for all those affected by the war in Ukraine. In this very volatile and challenging situation, we continue to monitor the development closely. Before we end today's call, I would like to say that we intend to do what it is needed to do in order to get back on track to our medium term targets. And I'm confident that Autoliv will come out of this challenging time as a stronger company. Meanwhile, Autoliv continues to focus on our vision of saving more lives, which is our most important contribution to a sustainable society. Our second quarter earnings call is scheduled for Friday, July 22, 2022. Thank you everyone for participating on today's call. We sincerely appreciate your continued interest in Autoliv. Until next time, stay safe.